Mario Sampaio: Okay. Good morning to all. Welcome to SABESP’s Video Conference to discuss the Earnings for Q3. My name is Mario Sampaio, I am Head of Capital Markets and Investor Relations at SABESP.  Today, we have with us here, Dr. Benedito Braga, Chairman of SABESP; Mr. Osvaldo Garcia, Director, Financial Economic Director, and Investor Relations; Mr. Marcelo Miyagui, Head of Accounting; Marcel Sanches, Superintendente of -- for Regulation. Before passing the floor to Dr. Braga to begin the conference, I’d like to give some information. First, this video conference is being recorded, and the presentation will be available for download at our portal, where we already have the press release. We will accept questions only in writing through chat. Our conference will be for an hour and 30 minutes, and we will have 45 minutes to answer questions from analysts. And at the end, we will have time for questions from journalists.  To include a small disclosure, we would like to clarify that any declarations made during this conference concerning the business prospectives of the company, projections, operational and financial goals are based on beliefs and assumptions of the company’s Board and also information currently available to the company. Considerations about the future are not guarantee of performance. They involve risks, uncertainties because they refer to future events, and therefore, depend on circumstances that may or may not occur. Investors should understand that general economic conditions, industry conditions, and other operational factors may affect the future of the company and may lead to results that may differ materially from those expressed in these considerations about the future. Now, I would like to pass the floor to Dr. Braga. Dr. Braga, you have the floor for the opening of this conference. 
Benedito Braga: Thank you very much, Mario. Good morning to everyone. It’s a great satisfaction to bring to you on this rainy morning good news to all. We had very positive financial results but I will allow our CFO, Dr. Osvaldo Garcia to talk about this point to you. I would like to begin with three or four topics that are to your interest. Also as result of this good news, we have a rainy morning. Concerning the water safety, we had -- we are actually having a situation that is an extreme drought in the Southeast of Brazil and this even affected the electricity sector, and also as Dr. Osvaldo may explain issues involving cost of energy that went up as a result of this extreme drought situation that we are having. And we were able to get a special authorization from the water authorities to bring from our reservoir in Jaguari on Paraíba do Sul River, 40 million cubic meters. These are additional until the end of this year, and an additional 40 million cubic meters until the end of this year, thus increasing our water safety. I also inform in this direction talking about water safety that the works for abstraction of water from Itapanhaú River to the reservoir Biritiba-Mirim in the Alto Tietê system may remove or may abstract 2.5 million cubic liters of water with a monthly average. Like this, the works are going fairly well. And in the first semester of next year, we will have the inauguration of this supplementary system. Now concerning rainfall, we had a month of October that was a little above average in terms of rainfall. But a month of November, in the first two weeks, November with little rainfall, but we still have hopes that in the second part of November, we may have more rainfall to recover our levels at the reservoirs without the need to have any extraordinary measures to guarantee the supply of water in the metropolitan regions of São Paulo.  In the interior, we had a situation in the City of Franca in the months of August, September, we had to begin a rationing plant, but this situation is over and today the supply of water in the City of Franca is normal. So, in the other cities, 375 cities, the situation is okay concerning the supply of water.  Another important piece of news, very important news is the implementation of . This platform will allow the new tariff structure that we have, this structure where we will have a single tariff for all our cities. And this will be applied in 2022, and reminding you that the minimum tariff disappears and we will have a fixed tariff for water connection, and plus water consumption. So the person will only pay for what they use, but there will be a fixed fee in the new structure, in the new tariff structure. Also through this new platform, , we will have different interaction with clients, much better interaction with payments via PIKs, credit cards. In other words, a modernization -- a very important modernization and update. Right now, we are implementing this system. There are some initial issues. For example, we have -- in our contact center, also we had a problem with fake news on fake bills from SABESP but the  system has a much greater efficiency brings us this greater efficiency and a reduction in delinquency due to the fact that we are working with tax payer numbers and ID numbers.  Our corporate area did an excellent job and important job and we inaugurated this new area in terms of relationship with the clients and the monitoring of our meters. So this is an important piece of news. We are modernizing the company.  Now, concerning the new sanitation alliance, the decree that regulates Article 16B in terms of improving the economic financial capacity of the company, as a result of the goal for 2033, concerning 99% coverage with water, and also sanitation. We are very comfortable with these issues. Yes, we will have conditions to prove our financial economic capacity as a result of the following.  Our largest consumers, our largest cities will not need investments in CapEx, we had already foreseen getting to a situation of universalization before 2033. Also, I can mention here that unfortunately, the Federal government did not act on time in regulating this law and published this decree with nine months -- nine months late, the National Water Agency regulated other indices that we will have to follow everything here late but we are working hard and fast for everything to be done, everything that is from our part until December 31th. And with this, we will be absolutely in agreement with the new law for sanitation. Finally, I would like to mention that SABESP was the only company in the Southern Hemisphere to have an agreement with UNFCCC, which is the platform of the United Nations for climate change, where we are collaborating in this worldwide movement to increase the resilience of the water systems. We participated actively in COP 26. Taking our vision and showing that these discussions of the UN, the 26 have focused a lot on the energy issue CO2, the problems that will happen, in the long-term, in the future. But the -- we are not concerned with adaptation, which is happening right now. You can see the issues concerning that drought we have in Brazil and SABESP has been an example for the rest of the world for the sanitation companies in the world, because it prepared itself. We adapted ourselves to climate change. So it is with great satisfaction that we saw that the final report of the Chairman of COP 26 gave more importance to the adaptation issue, and not only this, the next COP that will happen in Egypt next year, the focus will be on everyone adapting themselves and how this will impact and bring an improvement to the less developed countries in the Southern Hemisphere.  Also within this context of ESG, the company is alert. The company is getting stronger and stronger in this direction ESG. Well, I believe you are more interested right now in hearing our CFO and the positive results in finance.  So, Dr. Osvaldo, you have the floor.
Osvaldo Garcia: Good morning, Chairman, Braga. Good morning to all. I thank you all for participating in this video conference to discuss the earnings of Q3 2021. Beginning on Slide 3, we observe the total volume built with a growth of 3.7% in relation to Q3 ‘20. This considering the volumes of Mauá, which in this quarter is working in retail and Q3 -- in Q3 2020, they were working not in retail. Well, just considering the volumes that are exempt from collection and also social and residential categories in shantytowns, going from 957.3 million to 992.7 million cubic meters built. This growth is greater in the sewer services, 4.1% in relation to the volume build in the segment of water that rose 3.4%. The most significant increase happened in the non-residential categories, where tariffs are higher, 15.7% in public, 7% in commercial and 6.6% industrial clients.  In the Residential segment, which represents the greatest volume in relation to the total, the growth was 3.2%. With a recovery of consumption in non-residential categories, we noticed a recovery in the average tariff with favorable impact on revenue. Next slide, please. Now, we'd like to see the slide with financial numbers. The revenue from sanitation services had an increase of 17.7% in the period going from R$3.6 billion in Q3 '20 to R$4.3 billion in Q3 '21, especially as a result of tariff increases applied on clients’ bills; in August 2020 3.4%; and since May this year, an increase of 7%. The effects can be seen in the revenue in this quarter when compared to the same quarter last year. Also we had the increase of 3.7% in the total volume build, which explains the relevant increase of the total revenue of sanitation services and the operation of water distribution in retail in the City of Mauá which is now R$24.7 million more in comparison with the same period last year. Net revenue went from R$4.4 billion to R$5.2 billion due to the growth in the volume builds and the inclusion of the price increases mentioned, as well as with the revenue from construction that contributed for the growth of R$132.7 million in the period. The costs, administrative expenses and commercial expenses, including the cost of construction had an increase of 13.8% going from R$3.5 billion in Q3 2020 to R$3.9 billion in Q3 2021. When we exclude the construction costs, the increase was 14.3% or R$347.5 million. Adjusted EBITDA was R$275.7 million above the EBITDA of Q3 '20, resulting in R$1.8 billion in Q3 '21, a positive variance of 18.2%. Now, concerning the EBITDA margin, which does not consider the revenue and construction costs, was a little higher going from 44% to 44.4%. The net profit, net income closed at  (sic) , 11.1% above the profit in Q3 ‘20, which was R$421.6 million. I'd like to stress that this increase was based on the revenue that grew in a more vigorous way with the inclusion of recent prices readjustments, a greater volume recovery of non-residential segments, thus improving the average tariff. And despite the pressure on costs and expenses due to higher inflation, and also with higher interest rates and exchange variations.  Now, we go on to the slide for costs and expenses. The costs and expenses when we disconsider the cost of construction had an increase in 14.3% or R$347.5 million. It's important to remind you that the analysis and comparison of this quarter with that of 2020, in some cases, mainly to distortions, because many activities were paralyzed or delayed the last year as a result of the measures for social isolation. The expenses with personnel had a small increase, 1.8%. The explanation is, in the salary increase of 7.75% in May this year, and medical expenses that were exceptionally low in the previous year. This variation above -- below the inflation of the period is due to the reduction of around a 1,000 employees.  The effects of the impact of the pandemic in Q3 ‘20 can also be observed with different degrees of magnitude in the expenses with materials and expenses with services. In general expenses, a significant part of the growth observed of R$103 million or 45.9% is explained by the expenses with court issues, R$53.3 million, and the increase in accruals or provisions for payments to the Environmental and Infrastructures Sanitation Municipal Funds, resulting in the growth of the revenue and the number of cities included worth R$32.9 million.  Expenses with electricity were also important. The average increase in the tariffs ACR was 30.6%, and the impact was not greater because we migrated part of the consumption to ACL, the free environment where the price increases were not that high. In general, the expenses with electricity had an increase of 20.6% going from R$311 million to R$375 million in the period.  Different from the revenue that already reflects the recovery in volume and average tariffs in relation to the same period last year, the estimated losses with credits and bad debt increased by R$43.5 million, a growth of 57.9%.  As mentioned by our Chairman, due to the beginning of the operation of the new commercial system, we will have a more modern tool to approach and solve these balances that were not collected -- were not received.  Next slide please. Financial performance. The graph for financial performance begins with the profit in Q3 2020 of R$421.6 million and shows the movement of the results of the period. Net operational revenue grew R$715.4 million due to tariff increases, totally included growth in volume and improvements in the average tariffs as already mentioned. Costs and expenses, plus construction costs had an increase of R$477.3 million.  Other revenues and operational expenses, including equity had a positive variation of R$2.8 million. This financial result presented a negative variation of R$190 million due -- especially to the devaluation of 8.7% and 8.3% of the Brazilian currency in comparison with the U.S. dollar and the yen respectively. A devaluation that is greater than the one observed in Q3 ‘20, which was 3% and 5.2% respectively.  And also another point, the impact of the higher interest rates and also IPCA index on loans and financing. Income tax and social contribution had a negative variance of R$3.9 million resulting from the increase in net operational revenue of R$582.7 million, which excludes the effects of revenue and expenses with construction, the increase in cost and expenses of BRL347.5 million and greater expenses with exchange variation of R$141.5 million. The result was the net profit in Q3 ‘21 of R$468.6 million. This result, although better than the one demonstrated in the same period last year, shows that the company still has the effects of the crisis at the beginning of 2020, but we have recovered revenue, not only due to higher tariffs -- tariff increases, but also the effects in the economy with the recovery in industrial segment and services. On the other hand, issues like delinquency have not followed the same trend and the strong increase in inflation can seen in the cost of inputs.  These are our comments. Now we would like to go on to the Q&A session. Mario, you have the floor. 
A - Mario Sampaio : Everybody listening here, I’d just been muted. Hello? Okay. I'm taking over here. We would like to begin our Q&A session. .  I will check with Dr. Braga. The question is from . He asked many questions concerning tariffs and price increases, indicators, period, and when we will have the tariff structure? Dr. Braga please guide us. 
Benedito Braga: The implementation of the new tariff structure will happen in April next year and will be implemented in May -- will begin in May. But I see here that there are more detailed questions on revenue and so forth. I will ask, Osvaldo and Marcel to answer these questions.
Osvaldo Garcia: Marcel, I will try to answer. Please supplement. Concerning the revenue, we have -- the amount is R$17.5 billion. And if SABESP has an expectation in relation to revenue this year, what I can say today that it is a little below the required revenue, but only at the end of December where we will have the final number. We believe it'll be a little lower, but not very much lower. Now concerning the period of evaluation -- of inflation, I'd like to say that our P0 was February 2021, and therefore the way the -- since the agency will treat this in March, let's see the index that will be used. So, we can adjust for inflation in the period. This will be discussed in April and implemented as of May. Now, concerning tariffs, the Chairman already mentioned, it will -- the new system will be implemented in May 2022. If you like to supplement, Marcel?
Marcel Sanches: No. Perfect.
Mario Sampaio: The next question is from . How is the process concerning a possible privatization of the company?
Benedito Braga: Well, always reminding you that this topic of privatization is up to our Controller. It's not up to us to discuss this point. I would like to say, concerning the progress, it is what is public, our Economic Minister has said, everyone knows that the privatization committee of the government is analyzing this topic for the companies’ tariff, and intends to hire the IFC, to prepare a study. This is the information that is public and everyone knows. I have no additional information apart from what we read in the press. 
Mario Sampaio: Well, we are awaiting more questions for the time being we had . A question from . The question is, please give us an update about the investments in the new Pinheiros River. So please talk about the schedule, amount invested, measurement of results and expectations involving conclusion. 
Benedito Braga : Well, it is a great pleasure to answer this question. In October, we connected 428,000 users of the 530,000 savings for this project new Pinheiros River. We have the concrete hope to finalize until the end of 2023, all the 533,000 savings apart from the quality recovery units for streams that feed the Pinheiros River. We have 5 stations, total investments R$1.7 billion. We’re only paying -- according to results, we have 87% of physical part working ready. But in terms finance we’re close to 30%, 40% in terms of payments, because the payment is only made when you have the results in terms of connections and quality of water in the streams that feed the Pinheiros River. So it’s a project that is going very well, very successful even during the pandemic, we’re going beyond the forecast. As I mentioned, the forecast was 85% in October, and we have 87% ready. 
Mario Sampaio : Okay, we’ve a question from Daniel Travitzky. And the question is, please comment on expansion plans for operations, participation in auctions for sanitation and expansion to other states? 
Benedito Braga : The company is very connected to new businesses, expansion. Dr. Osvaldo in the financial department has a superintendent allocated to treat this topic of new businesses. We are looking at this topic with great interest. We are focusing right now on the universalization and to reach the goals that we have in our program for 2033. As I mentioned in my initial speech, we are observing this. We have outside consultants for M&A to help us. We are competing for Uberlândia for -- to take care of the city, next close to Franca where we are already present. But maybe Dr. Osvaldo cam supplement with some comments in terms of new businesses. 
Osvaldo Garcia : Mr. Chairman supplementing this information, it's basically what you mentioned. Our focus is in serving the 325 contracts, improving our economic and financial capacity and CapEx. But of course, after January 1st, when we have the confirmation of the financial capacity in the other companies, we expect some action, especially in new businesses. We're focused in looking at the opportunities. First, with priority to our states São Paulo and then other businesses participating in auctions together or together with other companies. 
Mario Sampaio: We have a question from Carolina Carneiro from Credit Suisse. The question is, on the implementation of the new tool for collection that Dr. Braga mentioned. Specifically, she wants to know, how long will it take to implement this new tool? And expectations to decrease PDD, which will happen in Q4? 
Benedito Braga: The tool is already working. We are improving the ways -- the better ways to collect, more modern ways to collect, which should happen in the next two, three months in the beginning of the year. At the beginning of the year, we will have more news about this, using WhatsApp, using BICs for payments, all these modern tools for payments and also more effective ways to reduce delinquency. But the tool is already working, but these upgrades will happen in the next 3, 4, 5 months. 
Mario Sampaio: Right now, we don't have any new questions. I understand that system identifies whether these are analysts. Dr. Braga, can we open the floor to journalists?
Benedito Braga: Yes.
Mario Sampaio: So, let's wait a little. Let's see if we receive questions. In order to clarify point, so we will wait a little.
Benedito Braga: One point involving logistics. The only way to receive questions is through the Q&A or do we have other ways to receive questions from analysts and journalists? 
Mario Sampaio: Only through Q&A. Questions only through the Q&A. I didn't see Caroline’s questions. Caroline is an analyst. She had difficulty to ask her question. So, she is an analyst. She has contact with company. She sent it through WhatsApp and I read the question. Okay. We have more questions. Dr. Braga, Dr. Osvaldo, the question is from . How are the recent changes having an impact on the company? How is the issue of costs? How are the costs?
Benedito Braga: Very well. This question is for Dr. Osvaldo.
Osvaldo Garcia: Okay. Mr. Chairman. Well, in the macroeconomic system, we had an increase in interest rates. This will have an impact on our costs with -- because of the loans we have and our debts. Now concerning the other issue, it's a great concern of the company. This variation with higher inflation, this has put pressure on many of our costs, operational costs, cost of materials, cost of electricity had a direct impact not only by inflation but also the drought, the scarcity of water in the reservoirs. We are looking at this very careful, that's why I mentioned this point. But the costs are under control and within the goal that we had projected. Pressure exists. We are working now for this pressure not to have a great effect.
Mario Sampaio: Okay. I believe we have another question. I believe it was already answered. , he asks, whether SABESP intends to participate in sanitation auctions? This was answered. Maybe we can have more comments.
Benedito Braga: Well, myself and Osvaldo, we answered. We are alert. We're looking at the possibilities, we may participate as -- if it does not affect our contracts, our end contracts. Now with the new regulations, we have an important challenge.  mentioned this possibility of new businesses, but also there are serious issues, because we have goals with our current contracts. That's why we're focused on reaching the goals in our contract. But as Osvaldo mentioned, we are alert. We’re looking at the opportunities if we can have important financial results enabling an acceleration of the universalization. In São Paulo, we will consider the opportunities.  Mario, it seems that I said that we would deliver the new Pinheiros River at the end of 2023. No, I did not say that. If someone understood 2023, they understand it wrongly. 2022, next year, clean Pinheiros River from our viewpoint.  Okay, next question.
Mario Sampaio :  who asked the question about revenue. He asks for details and clarifications. Concerning the required revenue, is it R$17.5 billion for 2021, and based on prices of -- is this based on prices of February, 2021. Is this net revenue in the two cases? 
Benedito Braga : The answer is, yes.  Okay. Waiting for more questions. Remind you that those who are listening through the translation in English are invited to ask questions. You may ask questions in English too. So please feel free to ask questions in English. 
Mario Sampaio : SABESP is innovating. In the past, we used two of our periods to have the report in Portuguese and then in English. Now, with the Zoom technology, today, we’re doing at the same time, the call and also the virtual meeting in English and in Portuguese. So we’re more efficient now. Yes and this cut the cost of our conference calls. 
Mario Sampaio : Well, let’s see if we receive more questions. Yes, we have another question. . Could you detail the strategy? How the company is financed, new loans, potential buybacks? 
Benedito Braga : Osvaldo please. This would be better answered by you because you are responsible directly, so please. 
Osvaldo Garcia: Thank you. I will answer it the following way. The company has an intense process of refinancing in loans. We have tried to diversify the sources of loans apart from the debentures and with incentives we have sought multilaterals from the private markets. We had an operation at the end of the year, almost R$1 billion with BD investee in reals, not in foreign currency. Actually, this is the trend. The company guided by the Board and the council is trying to reduce as possible the exchange rate exposure. So our strategy is to diversify and anticipate the loans.  Now, concerning potential buybacks, we will see this when opportunities arise. But certainly, the company does manage its debt and it can in the future maybe pay off the loans that are very expensive in relation to what the market is offering. The debts, we have almost all of them CDI, allow us to pay off the loans in advance but always after a period after the issuance. I believe that in general terms, this is it, reminding you that the company has access to public multilaterals. Recently, we received approval from COFIEX due for the next step for financing of $200 million that it’ll be in yens with JICA, the public bank that does international developments from Japan and this is also in our pipeline. So we have many loans from the public bid and World Bank. These may later be converted be reals.  So we have a robust situation to guarantee the liquidity of the company and also guarantee the CapEx of the company to reach the goals and deliver the clean Pinheiros River on the date that Dr. Braga mentioned. 
Mario Sampaio: It seems that  asked the question. And . I did not receive this question. I will read the question. I apologize. Journalist from . Her question details about my initial comments. SABESP does not wait to have rationing. What is the scenario for 2022? What levels you expect to have during the droughts?
Benedito Braga : During these years, we had three actions, three movements: one, to increase the infrastructure; second, reduce losses of water; and also to bring and also have conscious consumption from consumers. We were successful in these three. That is why, today, we can say that we have no forecast for rationing of water. We 1are, in November, we are expecting more rainfall this month of November, and also during December and January, which are the rainy months. There is a difference in climate forecasts between the institutes -- research institutes. Some saying La Nina, others do not foresee La Nina. La Nina means that we would have a dry summer. Otherwise, we would have a normal summer. So, there are uncertainties.  What we have in terms of expectations is the average, what happens more frequently. And therefore right now, we are not seeing difficulties. Now, we will have no difficulties, if we have a dry summer, because we have alternatives to face a challenge like this one. We have experience to use technical reserves. We already use them. For your information Cantareira reservoir have technical reserve. The size of the full reservoir of Guarapiranga which is the third largest system producing water is a metropolitan region on São Paulo. Therefore we -- right now, we don't see the need for rationing water. Now, if we have a different situation. For example, in Franca we did this. Why? Because there next year, in the first semester, everything will be okay. It rained, we have no more problems. But when we had a more difficult situation it was necessary to ration the water. So, people could fill their water reservoirs in their homes for their basic needs. But we don't have this perspective in São Paulo. We don't see this as necessary in São Paulo.
Mario Sampaio: Okay. Now, I received the question. Let’s continue. We have no further questions. Dr. Braga, let’s wait another three minutes to receive questions. And -- do we conclude, or do we wait more, Dr. Braga, Osvaldo?
Benedito Braga : So let’s wait another three, four minutes. And if we don't have the questions we can close the conference call. We have 106 participants in this meeting, and certainly those who had questions have already asked their questions. Okay.  Well, Mario, I believe we have no more questions. 
Mario Sampaio : Yes, we have a question.  is asking. Will you announce dividends? 
Benedito Braga : Dr. Osvaldo. 
Osvaldo Garcia : Further dividends foreseen are the minimum and this will happen when we close our year-end report. We will define the company's profits and there is no -- we don’t intend to change this, 25%, which is the minimum dividend. We have a strong investment plan for -- according to new law and we want to really bring universalization of these services to State of São Paulo. 
Mario Sampaio : Very well. Dr. Braga and Osvaldo, we would like to close. So I will pass the floor to Dr. Braga for his final comments. 
Benedito Braga : Well I’d like to thank all the participants. I would like to thank our Directors and our CFO, and I would like to say that we continue working hard on our challenges, especially to meet the goals and everything that is in the new law. We will continue in reducing costs, improving efficiency. So this is what our company intends to do in the near future, and all those who participated may -- be sure that we will make our best efforts for our results to be greater, both financially and in terms of the improvement of the standard of life of people that we serve, and we supply water and sanitation. Thank you.